Operator: Good afternoon, my name is Chanel and I will be your conference operator today. At this time I would like to welcome everyone to the Columbia Sportswear fourth quarter and fiscal year 2009 conference call. (Operator Instructions) I will now turn the call over to Ron Parham, Senior Director of Investor Relations.
Ron Parham: Thanks, Chanel. Good afternoon and thanks for joining us on today’s call. Earlier this afternoon we issued a press release announcing our fourth quarter and full year 2009 financial results and our outlook for the first quarter of 2010. With me today to discuss those results and answer your questions are Columbia’s Chairman, Gert Boyle, President and CEO Tim Boyle, Senior Vice President of Finance and Chief Financial Officer and Treasurer, Tom Cusick, Executive Vice President and Chief Operating Officer, Bryan Timm, and Senior Vice President of Legal and Corporate Affairs and General Counsel, Peter Bragdon. Before we begin, our Chairman, Gert Boyle, has a reminder.
Gertrude Boyle: Good afternoon. I’d like to remind everyone that this conference call will contain forward-looking statements regarding Columbia’s business opportunities and anticipated results of operation. Please bear in mind that forward-looking information is subject to many risks and uncertainties and actual results may differ materially from what is projected. Many of these risks and uncertainties are described in Columbia’s annual report on Form 10-K for the year ending December 31, 2008 and it’s most recently filed quarterly report on Form 10-Q as well as on subsequent filings with the SEC. Forward-looking statements in this conference call are based on our current expectations and beliefs. We do not undertake any duty to update any of the forward-looking statements after the date of this conference call to conform the forward-looking statements to actual results or to report changes in our expectations.
Ron Parham: Thank you Gert, I’ll hand the call over to Tim.
Timothy Boyle: Thanks, Ron. Welcome everyone and thank you for joining us this afternoon. I want to touch quickly on a couple of highlights from the fourth quarter and full year then let Tom cover the financials and our outlook for Q1 2010 in more detail. 2009 was a challenging year as our fourth quarter results demonstrate. We finished on an upswing in consumer and retailer demand [technical difficulty] 2010. Global sales grew 1% over last year’s fourth quarter, representing our first quarterly [technical difficulty] in the past seven quarters. We exceeded our fourth quarter sales outlook thanks to greater re-orders and a return of a more cancel rate in our wholesale business after a difficult spring 2009, along with growth from our expanded direct to consumer operations. Our balance sheet got even stronger during 2009 [technical difficulty] our long term strategic initiatives despite [technical difficulty]. While there are a number of initiatives [technical difficulty] I’d like to highlight to [technical difficulty] I want to focus my remarks today on a few that we believe will have the biggest impact on our performance during the next couple of years. First, we’ve continued to invest in innovative technologies and compelling designs within each of our major brands. Within the Columbia brand we are focused on the upcoming launch of Omni Heat, our newest suite of warmth technologies that we believe are the most innovative to hit the outdoor industry in decades. This fall, consumers will be able to find Omni Heat in over 100 product styles spanning each of our product categories, outerwear, sportswear, footwear, accessories, and equipment. [Our hard work] continues to address the needs of serious outdoor enthusiasts with high performance [technical difficulty] technical lightweight styles, growing beyond $100 million market for the first time in 2009. Our Sorel brand of outerwear has evolved to offer a more style-driven approach to winter boots, merging reliable outdoor function with fun and fashion and a new focus on female consumers. Sorel sales expanded by 26% in 2009 to more than $60 million. Second, with our expanded family of innovative products serving as ammunition, in 2009 we began driving future growth using thoughtful, brand-enhancing segmented distribution strategies. Columbia and Mountain Hardware are focused on growing in the specialty outdoor and sporting goods channels in order to assure that our best innovations are appropriately represented. In addition, Columbia’s award-winning footwear line has begun to penetrate key specialty running stores that had never before carried the brand. Sorel has earned its way into several of the finest footwear retailers in the US and Canada, including Bergdorf Goodman, The Tannery, Holt Renfrew, Gorsuch, and Nordstrom’s. Third, we continue investing in our direct to consumer operations, opening three branded stores in Europe and a total of 16 outlet stores in the US, Europe, and Canada. We ended the year with 45 stores in the US, 10 in Europe, 2 in Canada. We also watched US e-commerce sites for the Columbia and Sorel brands, and in addition, for many years we have maintained direct to consumer operations in Japan and Korea, which represent a significant portion of their revenues. Clearly, 2009 presented a challenging economic environment. While our wholesale partners were re-calibrating their inventory levels, our direct to consumer operations allowed us to develop more intimate relationships with consumers from which we are gleaning new insights to drive future product design and development. I will now turn the call over to Tom for a review of our financial results.
Thomas B. Cusick: Thank you Tim and good afternoon everyone. I will begin with a brief overview of our Q4 and full year operating results and current financial position and provide our outlook for Q1 2010. Please recall that retail net sales comparisons often produce large percentage variances due to shifts and timing of shipments to international distributors that my occur late in the fourth quarter or early in the first quarter of the ensuing year. Our fourth quarter came in better than the outlook we provided in October, primarily due to greater than expected demand for fall products in the US as Tim commented on earlier. Fourth quarter sales increased 1% to $358.3 million including a 3 percentage point currency benefit. Looking at Q4 2009 sales on a regional basis compared with Q4 2008, US sales increased 5% to $215.5 million driven by the addition of 11 outlet stores and e-commerce sites for both our Columbia and Sorel brands, as well as the anniversary effect of the stores opened in 2008. That increase was partially offset by a mid single digit decline in our US wholesale business which was a better result than our original outlook as re-orders accelerated and cancellation rates moderated compared with last year’s fourth quarter. Overall, EMEA sales declined 23% to $46.2 million including a 5 percentage point currency benefit. Our EMEA distributor business declined by approximately 60% reflecting difficult macroeconomic conditions in our largest distributor regions, further amplified by a shift in the timing of shipments of spring ’10 advance orders from the fourth quarter of 2009 into the first quarter of 2010. Sales in our EMEA direct business increased to mid single digits, aided by a 9 percentage point currency benefit and healthy re-orders during the fourth quarter. Sales in our LAAP region increased 16% to $72.9 million, including an 11 percentage point currency benefit. By country, Japan grew high teens and Korea grew high 40s on a percentage basis, both aided by mid-teen currency benefits. Sales to our LAAP distributors showed a 22% decline resulting primarily from a shift in timing of shipments of spring 2010 product to our Latin American distributors, coupled with lower orders for spring 2010 product. Sales in Canada declined 12% to $23.7 million including a 5 percentage point currency benefit. A higher proportion of fall 2009 advance order shipments occurred in the third quarter of 2009 as compared to the same [trade] last year. The fourth quarter sales comparison in Canada was also impacted by a soft fall 2009 order book, including planned reductions in some channels of distribution which we have discussed previously. Looking at fourth quarter sales by product category compared with Q4 2008, outerwear sales were essentially flat at $171.5 million in the fourth quarter. Sales increases in the US retail, Korea, and Japan businesses were offset by sales declines in North American and European wholesale businesses and our independent distributor businesses. Sportswear sales declined $13.8 million or 13% to $93 million, mostly related to Columbia brand’s clients in our US wholesale and EMEA distributor businesses. Footwear sales increased $11.1 million or 19% to $70.9 million, mostly related to increased Sorel and Columbia brand footwear sales in our US and European direct businesses, partially offset by a sales decline in our EMEA distributor business. Accessory and equipment sales increased $6.3 million, up 38% to $22.9 million. From a brand perspective, the 1% increase in fourth quarter sales is mostly attributable to sales increases in the Sorel and Mountain Hardware brands, offset by a sales decline in the Columbia brand. Sorel sales increased $6.2 million or 27% to $29 million. Mountain Hardware sales increased $4.7 million to $28.9 million or 19%. Columbia brand sales decreased $7 million or 2% to $298.6 million. Gross margins were essentially flat at 42.1% when compared to the fourth quarter of 2008. Lower gross margins in our North American wholesale and European direct businesses were offset by improved gross margins in our direct to consumer business. SG&A expense increased 10% to $126.3 million, representing 35.2% of fourth quarter sales compared to 32.2% in last year’s fourth quarter. The increase in absolute dollar terms was almost entirely related to our direct to consumer initiatives. As a percentage of sales, the SG&A deleverage is the result of the combined effect of the revenue contraction and our wholesale business in North American and distributor businesses globally, coupled with an increased fixed cost base resulting from our larger North American and European retail businesses. Operating income for the fourth quarter of 2009 was $27.5 million, or 7.7% of sales. Operating income for the fourth quarter of 2008 which included a $24.7 million non-cash impairment charge was $12.4 million or 3.5% of net sales. Our income tax expense for the fourth quarter was $4.7 million according to a 17% tax rate compared to an income tax benefit of $5 million recorded in the fourth quarter of 2008. Our income tax rate for the fourth quarter of 2009 was favorably affected by foreign tax credits and the resolution of various uncertain tax positions which brought our full year tax rate down to 25.4%. Net income for the fourth quarter of 2009 was $23.1 million or $0.68 per diluted share compared to net income of $18.6 million or $0.55 per diluted share for the fourth quarter of 2008 including an after tax impairment charge of $0.46 per diluted share. For full year 2009 net sales decreased 6% to $1.24 billion including a 1 percentage point negative currency effect. Gross margins contracted by approximately 100 basis points to 42.1% primarily due to a higher volume of close out product sales at lower gross margins, the bulk of which occurred in the first quarter of 2009 as the industry was in the midst of reducing inventory levels. Full year gross margins were also reduced by unfavorable hedge rates, particularly in Canada. SG&A expense increased 300 basis points to 35.7% of net sales compared to 32.7% of net sales in 2008. This SG&A deleverage is primarily due to the revenue contraction in our wholesale business in the US and Europe and international distributor businesses along with an increasing fixed cost base resulting from the expansion of our direct to consumer business. Our marketing and advertising spend was 5.2% of sales for 2009 as compared to 5.5% of sales for 2008. Operating income for full year 2009 was $87.8 million or 7.1% of sales as compared to $118.7 million or 9% of sales in 2008 including the impairment charge. Net income for full year 2009 was $67 million or $1.97 per diluted share as compared to $95 million or $2.74 per diluted share last year including the after-tax impairment charge of $0.46 per diluted share. Now turning to the balance sheet and comparing December 31, 2009 amounts to December 31, 2008, the balance sheet is stronger than ever with cash and short term investments totaling $409.4 million. Consolidated accounts receivable at December 31, 2009 declined 24% to $226.5 million versus $299.6 million a year ago. Consolidated DSO decreased to 57 days from 76 days at December 31, 2008 reflecting significantly improved cash collections and our continued efforts to actively manage our credit risks and related shipments as well as a higher proportion of direct to consumer sales. Consolidated inventories decreased 13% to $222.2 million versus $256.3 million last year. Inventory levels in the US declined approximately 24% year-over-year. Capital expenditures were $11 million for the fourth quarter and $41 million for the year consisting of approximately $26 million in Cap Ex related to retail expansion including e-commerce and modest investments in Korea and Japan and approximately $15 million in maintenance and infrastructure projects. Depreciation and amortization expense was $10.1 million for the fourth quarter and $35.5 million for the year. For full year 2009 we generated a record $214 million in cash flow from operations, paid $22 million in dividends, and repurchased approximately $800 million in Columbia stock. Since the beginning of the share repurchase program in 2004, we have repurchased a total of approximately 8.9 million shares or $407.4 million in Columbia stock and have $93 million available under the current authorization. Today we announced that Columbia’s Board of Directors approved a first quarter dividend of $0.18 per share. Now let’s turn our attention to our outlook for Q1 2010. Please keep in mind that this information is forward-looking in nature and is therefore subject to certain risk factors. The economic environment globally has created a high degree of uncertainty around consumer demand, currency exchange rates, retailer stability, and other factors that affect our business which has limited predictability of our financials. The spring season has historically accounted for a minority of the company’s full year business making it premature to provide our full year revenue and profitability outlook until April when we have greater visibility from our fall backlog and more solidified marketing and capital plans. Based on our previously reported spring backlog and our current view of retail activity, we currently expect Q1 2010 consolidated net sales to increase approximately 4% to 5% including approximately 4 percentage points of favorable foreign currency impact compared with the first quarter of 2009. We estimate approximately 1 to 2 percentage points of first quarter operating margin contraction consisting of approximately 2 points of gross margin expansion and 3 to 4 points of SG&A expansion. The expected gross margin expansion is largely the result of a lower volume of close out product sales in our wholesale business and a higher volume of company-owned retail sales at higher gross margins partially offset by unfavorable hedge currency rates for spring 2010. The expected SG&A increase is due to a combination of factors including currency exchange rates, the anniversary effect of the company’s retail expansion, transitional costs associated with the internalizing of our sales organization in North America and Europe, and reinstatement of personnel and benefit programs that were curtailed or postponed in 2009 as part of our cost containment efforts. We expect the upward pressure in SG&A to continue through the third quarter of 2010. At this point we are modeling a 28% income tax rate for 2010. We are still early in our process of taking orders for the fall 2010 season so consistent with our prior practice we will wait to comment on the factors that we believe will influence full year 2010 sales and profits until the first quarter conference call in April when we have substantially completed our fall bookings. That concludes my remarks. I will hand the call back to Tim for some final comments.
Timothy Boyle: Thanks, Tom. As I said at the beginning of today’s call, the upswing in consumer and retailer demand in the fourth quarter coupled with the launch of what we believe is breakthrough technology in Omni Heat gives us a sense of guarded optimism entering 2010. We’ll get a better sense of whether or not that optimism is warranted in April when we tabulate and announce our fall 2010 backlog. We’re working closely with our wholesale partners to plan their fall ’10 orders, coordinating sourcing and manufacturing of the fall line to ensure timely delivery, and formulating compelling marketing plans designed to create consumer demand and drive sell through and profitability for our wholesale partners. But none of these efforts is assured nor can we be sure about consumer spending or the continued financial health of each of our customers. We believe that the changes we’ve made in the last 24 months in our products and our organization have put us in a better competitive position but we will still need to demonstrate a revenue [up] so we can confirm that. We will have more visibility in April when we share our fall 2010 bookings with you. Thank you and now we’d like to open up the call to any questions.
Operator:  (Operator Instructions) Your first question comes from Robert Drbul - Barclays Capital. 
Robert Drbul - Barclays Capital: First, when you look at where you are for 2010, I know you don’t want to comment on the backlog specifically, but I was wondering if you might be able to provide any color or sort of where you are on the order book versus the same time last year and sort of any initial feedback that you’ve gotten in terms of are you happy with what you’ve seen so far versus a year ago and just versus your expectations as you proceed through the order period. 
Timothy Boyle: You’re right, we really want to be careful about being fastidious about our backlog date where we announce but I can tell you that with Omni Heat, that label is a three part suite of warmth technologies including an insulation factor, an electric factor which is present in our boots, but more importantly this reflective technology which interestingly is the first time we’ve had one of the sciences that we so strongly promote with all of our brands being visible to the consumer so when we’ve shown it to our customers, the initial reaction is frankly that they get it immediately, so it’s not like having to try and distill these scientific components down to a specific story. we actually liken it here to a similar time when Nike first exposed the air bladders to the consumer making the visible air so important in their growth. So the reaction has been quite strong and we just want to make sure that that translates into orders that we can ship. 
Robert Drbul - Barclays Capital: Just a philosophical question, as you look at the outlook for the business, with the first quarter operating margin guidance that you’ve given, when you look at sort of 2010 versus 2009 and you see the gross margin versus the SG&A, is it possible that as the year progresses we should see that gross margin continue and do you think operating margin expansion, is it a goal for you in 2010 or how should we think about that qualitatively?
Timothy Boyle: Absolutely we’re not comfortable at being below even our peers in terms of profitability. We expect and challenge ourselves to be among the best in the business and that’s in every measure including profitability so the company’s been fairly disciplined about managing the SG&A line to comport to our best ability to the revenues that we have, so we’re committed to making sure that the company is as profitable as it possibly can be based on the revenue numbers that we see, and again, we’ll know more about that specific number in the back half when we announce our back log in April. Just be mindful of the fact that by far the largest component of the company’s revenues are in the back half of the year. 
Operator: Your next question comes from Michelle Tan - Goldman Sachs. 
Michelle Tan - Goldman Sachs: First, on the SG&A front, I guess without projecting the levels for the full year, can you give us some sense of those pressure points that you’re seeing in Q1, which ones continued through the balance of the year, so if you look at the year-over-year retail expansion, the benefits, is that a Q1 event or does that kind of remain a pressure point for the balance of the year, and then internalizing the sales operation?
Thomas B. Cusick: As it relates to the currency element, we would expect that to be present at least through the mid part of the year and that’s about a third of our SG&A lift in absolute dollars in Q1 and then the retail component we would expect to be present through probably the first three quarters of the year and then the sales organization and reinstatement of the benefit programs in a combined fashion, those dissipate somewhat in the second half of the year.
Michelle Tan - Goldman Sachs: Looking at the actual deleverage as opposed to the dollar growth, the currency shouldn’t be a factor, right, in terms of rate as much as it dollar growth, right?
Thomas B. Cusick: Yes, that’s correct, so if we look at the currency impact at the operating income level, in percentage terms, it’s fairly neutral, at least through the first half. 
Michelle Tan - Goldman Sachs: Those other three pieces, the retail, the benefits, and the sales operation, if you look at the 3 to 4 points of deleverage that you’re looking at then in the first quarter, how do you split those 3 to 4 points up across those factors?
Thomas B. Cusick: The currency and the retail are kind of one third each and then the sales organization and the benefit piece is combined to make up the final third.
Michelle Tan - Goldman Sachs: Maybe you could give us some sense of the marketing plans as you make the bigger push into Omni Heat in the second half of the year, how we should think about the marketing budget for the year. 
Thomas B. Cusick: Right now our plans are to have the expenses at about the same percentage level as in prior periods. We’re waiting to collect all the orders and do an analysis to see where our customers have settled on specific products and then we’ll be able to be much more specific about the marketing plans at that time.
Operator: Your next question comes from Reed Anderson - D. A. Davidson & Co. 
Reed Anderson - D. A. Davidson & Co.: Getting back to the first question on orders, I know you don’t give the order book at this point, but I was curious if you look at where the product line is today versus where it was a year ago, I’m just curious, what is the pricing trend inside of there at the list price level? I’m assuming it’s up on average? I’m just curious order of magnitude.
Timothy Boyle: It is up on average and again, without having full visibility to the order book, it’s difficult to tell you today the kind of scale of magnitude, but I know with this Omni Heat suite of products which is running across every product category that we have, we’re able to gather some additional pricing and hopefully some gross margin for the company. 
Reed Anderson - D. A. Davidson & Co.: I know when you were coming into the fourth quarter, you were managing inventories very conservatively and there was a limited amount of build if we got a big surge in demand with this weather in this economy to change that and I’m just curious if given the experience you saw in the fourth quarter, do you feel like either you missed some sales and do you feel like you want to step a little further out on that risk group now or do you feel like the inventory, you’ve got that really where you want it?
Timothy Boyle: Just as a reminder, we’ve got two different seasons of inventories that we work with, one is the spring merchandise and the other obviously is the fall. I think when we analyze our fall inventory, we really manage that quite well for 2009 so we ended the year nice and clean and frankly it was really the best approach for us. As we began spring 2010 shipments, which occur in the fourth quarter to a certain extent, we probably were a little too conservative so there could have been some modest increase in inventories which will gradually grow in the first quarter to satisfy the spring deliveries. So as it relates to our plans for speculative inventory for 2010 fall, we really want to wait until we have a very complete order book and we’ll include the comments regarding our speculative position in our first quarter conference call in April.
Reed Anderson - D. A. Davidson & Co.: Shifting gears a little bit, what is the plan for direct to consumer? Where are you going to be investing? Number of stores or e-commerce or just a dollar number that you might be spending on that business this year?
Thomas B. Cusick: We’ve currently opened two branded stores this spring, Chicago and Minneapolis and I believe we have three commitments for three additional outlets in 2010 in the US.
Reed Anderson - D. A. Davidson & Co.: So the spending would probably be quite a bit less on the stores at least versus what it was a year ago, is that what you’re thinking?
Thomas B. Cusick: Likely, yes, as it relates to retail, specifically to retail. 
Reed Anderson - D. A. Davidson & Co.: Similar to retail, more of a shift to e-commerce perhaps? 
Timothy Boyle: We’re going to launch our Mountain Hardware e-commerce site in the middle of 2010. 
Reed Anderson - D. A. Davidson & Co.: Tax rate, even with the change in Oregon here, you’re able to keep that under 30%?
Timothy Boyle: The Oregon tax rate change ironically has a very nominal impact on our overall effect.
Operator: Your next question comes from Kate McShane – Citi Investment Research. 
Kate McShane – Citi Investment Research: With your new hire for the Global Head of Apparel, Susan Parham, can you give us a little bit more detail on what her strategy is going to be going forward, the reason for the hire, and how her hiring is going to impact Omni Heat?
Timothy Boyle: Susan has been operating as a consultant to the company for about a year so she’s not new to our company and with her background really stretching from consumer goods and a significant apparel background starting with Liz Claiborne and including Nike and other companies, the expectation is that we’ll have a continuing increase in the amount of innovation that comes out of our groups and frankly a continuing focus on efficient line planning and just a much better business. The Omni Heat initiative which as I mentioned earlier we consider to be really game changing for the company is going to be followed up in subsequent seasons by other kinds of breakthrough technologies that really are going to be put together by the team here, including Sue, and really to be directed in a very efficient way to keep those products top of mind and focused on really growing our top line in our wholesale and retail businesses. 
Kate McShane – Citi Investment Research: My second question is on the spring backlog. In your guidance you said that based on the 5% decline in spring backlog is leading you to the guidance that you were giving on Q1. I was a little surprised that number didn’t change from what you announced back in October. Is it still possible that this backlog number can change for better or for worse up to this point?
Timothy Boyle: Tom, you’ll have to tell everybody again what our backlog number was that we announced in October. 
Thomas B. Cusick: Down 5% and our spring business is generally a net cancel business so if history has anything to say about it, generally we don’t’ ship more than the backlog number in terms of growth rate or decline rate.
Timothy Boyle: So the opportunity for upside I would say with the spring business is fairly limited other than any change we experience between September 30 when we announce that backlog and currency rates and obviously there’s been some movement there.
Operator: Your next question comes from Mitch Kummetz - Robert W. Baird & Co., Inc. 
Mitch Kummetz - Robert W. Baird & Co., Inc.: Let me follow up on that last question about the Q1 sales outlook because again I think your spring backlog was down 5% at the end of Q3, now your sales guidance is up 4% to 5% and I think currency has moved a little bit but actually it’s going to kind of gone against you of late. I can’t imagine that the difference between your backlog versus your sales outlook is all direct to consumer, so is the other delta just that you’re expecting or you have had fewer cancellations then a year ago just like you talked about in the fourth quarter? 
Timothy Boyle: Frankly I think the biggest shift is how the distributor business ships because please recall that the distributor business ships before the wholesale business so we ship generally the lion’s share of our distributor business between mid-December and mid-January.
Mitch Kummetz - Robert W. Baird & Co., Inc.: When we think about your Q1 outlook in terms of product categories and geographic regions, how should we think about that? The quarter that you just reported, the EMEA distributors were down 60%, you had a shift in your LAAP distributors. How should we think about those two components and just sort of the overall buckets in terms of how you break out your sales? Where do we expect growth, where do we expect still some continued decline?
Timothy Boyle: As it relates to that distributor business, I think we talked a quarter ago about the EMEA distributor business. It was the biggest driver in the decline of our spring backlog and it was down in the low 40s year-over-year so we would expect that business to be more flattish in the first quarter of ’10 versus first quarter of ’09 given that. The LAAP distributor numbers variances are less significant.
Mitch Kummetz - Robert W. Baird & Co., Inc.: On gross margin, you talked about what you expect the impacts to be for the first quarter. When you think about things like FX and input costs, how do you think those will play out over the course of the year? It sounds like you’re FX hedging is still a negative on gross margin in the first quarter. Does that turn into a positive at some point as we go through the year?
Timothy Boyle: Yes. So we expect FX headwinds in the first half of the year and certainly based on where we’re hedged we would expect to see some tailwinds in the back half. We should get some help there. 
Mitch Kummetz - Robert W. Baird & Co., Inc.: How about on the cost side of things?
Timothy Boyle: I would say things are fairly neutral from an input cost standpoint but we are anticipating incremental increased freight cost as we renew our ocean contracts.
Mitch Kummetz - Robert W. Baird & Co., Inc.: That will be in the back half then?
Timothy Boyle: That’s kind of mid Q2.
Mitch Kummetz - Robert W. Baird & Co., Inc.: One last question, just to clarify on your own retail stores. I think you said 57 at year end and then I think in response to Reed’s question, a total of 5 new stores in 2010, is that correct?
Timothy Boyle: Yes.
Operator: Your next question comes from Howard Tubin - RBC Capital Markets. 
Analyst for Howard Tubin - RBC Capital Markets: This is Jason Schmidt calling in for Howard. It’s great to see some of the new product innovations you’ve introduced with the Omni Tech family, especially the new Omni Heat product. We’re curious how these new products are going to impact the Titanium line? Will the Titanium line continue to be kind of your premier brand or do you expect to begin putting more emphasis on innovation in your core line?
Timothy Boyle: The Titanium line will include the Omni Heat products certainly and Titanium will continue to be our premium products, the best stuff we make. There may be some slight migration out of Titanium with some of these new technologies, but for the most part, they’re going to be concentrated in our Titanium products to continue the halo effect and to keep our brand growing and becoming more in demand.
Operator: Your next question comes from Jim Duffy - Thomas Weisel Partners. 
Jim Duffy - Thomas Weisel Partners : Recognizing that it’s early to comment on your own backlog, as to the early conversations that you’re having with retailers, what’s their commentary about their open to buy budget as a whole for the fall for all brands? Hopefully they’re talking about a lift in open to buy dollars over 2009?
Timothy Boyle: I guess in talking about North American customers now, because I haven’t been really privy personally to any conversations with customers in Europe although we go to Europe for the Ispo Show here in the next few weeks. I think retailers will continue to approach the open to buy with caution and so my expectation is that they’re fairly clean right now but their open to buy is in my guess overall are not going to expand and they’ll be more cautious in terms of how they approach their spending. And I would be surprised if that weren’t the case in Europe.
Jim Duffy - Thomas Weisel Partners : Do you think it will be flattish on a year to year basis?
Timothy Boyle: Their open to buy?
Jim Duffy - Thomas Weisel Partners : Yes.
Timothy Boyle: Yes, I’m guessing that their open to buys will be for all brands flattish. Our hope is obviously that we’re making a compelling argument with our new products and the new technologies and we’ll get a bigger share.
Jim Duffy - Thomas Weisel Partners : On the back side of an outerwear season, what are some of the key learnings that you take away from your own retail efforts, whether it be specific to those efforts or things you might be able to translate into interpretation of consumers perception of the brand products, etc.
Timothy Boyle: The overall learnings for us is just every time we make it simpler, the simpler the better, and it just continues to reinforce itself. Even though we have very knowledgeable sales associates, when we start talking about complex physiological properties of the products, it just becomes very, very difficult so the simpler we can make the products and the stories, the better we are, and frankly, that’s what so exciting about Omni Heat is that it’s visible and there’s not a lot of description required. Those are the kinds of things that we’ve learned. I think we know based on discussions internally and with our sales associates on the floor we can do a better job with fit on women’s specifically and so those are things we’re working on diligently. 
Operator: Your next question comes from Christopher Svezia - Susquehanna Financial Group. 
Christopher Svezia - Susquehanna Financial Group: I guess I might have missed this but what was the growth in your direct consumer business either for the quarter or for the year, maybe you can talk to that, and/or maybe just mention comp trends at all during the quarter in your company owned stores.
Timothy Boyle: Historically we’ve chosen not to disclose our direct to consumer sales comps or any of the metrics as it represents a minority of the business. 
Christopher Svezia - Susquehanna Financial Group: Okay, I thought I’d try. The sportswear business, for a second I know you guys have done a lot on the outerwear side in terms of product obviously, on the heat in terms of what you’re doing there. Sportswear is certainly important for you guys in the first half of the year and I’m just curious sort of your thoughts about how we should think about the sportswear business relative to the first quarter given how important it is in the first quarter in terms of what you’re seeing out there and any color at all in terms of how it pertains to your guidance.
Timothy Boyle: I think the guidance, as Tom mentioned, a certain portion of our Q1 volume is our independent international distributors. That’s coloring some of the changes. Our expectations are frankly for our business in sportswear which has been very, very strong in our PFG products and spring related merchandise in the southern part of the United States will continue to have solid growth there and I just might mention that we’ve done a really good job of differentiating ourselves in those technological products in sportswear from other more generic products but it is more difficult in that merchandise category to make it simple and easy for people to understand what the difference between our products and others’ is. 
Thomas B. Cusick: As it relates specifically to the first quarter, we would expect the sportswear business to grow at a rate fairly close to the total business.
Christopher Svezia - Susquehanna Financial Group: When you think about sportswear growth, is that even in US wholesale as well, never mind I guess the shift in distributorships?
Timothy Boyle: Yes.
Christopher Svezia - Susquehanna Financial Group: When you guys just think about distribution and your focus on kind of continuing to look at that sporting goods and the specialty channels, as you think about your back log and if you talk to retail, can you just talk a little bit about the shifts in terms of what you’re seeing between sort of the mid tier, the value channels, and as you get into sporting goods and the specialty channels, what you’re seeing in terms of the response when you speak to those channels of distribution, what they’re saying?
Timothy Boyle: We want to make sure we’re cautious about our backlog announcements but our focus on these new technologies has been to really focus in having them available strictly at specialty and better sporting goods stores so that we can continue to work on elevating the brand and showing these products to those buyers, the stories and the technologies have resonated, so again, it’s too early to talk about the relative changes in the distribution of the company’s products by segment but I think our goal certainly is to get specialty stores and sporting goods to really accept these newer technologies and our goal is to hopefully make that happen soon. 
Christopher Svezia - Susquehanna Financial Group: I was just on the Columbia footwear component to the business, I know you’ve seen strength in Sorel and what you’re doing there, but just your thoughts on what’s going on with the Columbia branded footwear side of the business, sort of how we should think about that for spring. I know you’re not going to talk about sort of second half, but just in terms of what’s going on there. 
Timothy Boyle: As you know, we’ve talked about footwear really should be the company’s largest product category but we’ve been talking about that for a long time and I really believe that we have the right team in place today to get us there. So we’ve won a number of awards with new product category, a show running shoe called Ravenous which has been just now delivering to retail, we’re very excited about the potential there, and my guess is that we now have the kinds of visible technology whether it’s Omni Heat in our winter boots or whether it’s these new Tech Lite products and an expansion of Tech Lite into our spring product that we now have the platform that we can really grow well on the Columbia brand. Then again, as you mentioned, the Sorel product has been really exciting to see the kind of pick up there. It’s always a good harbinger of what’s going to happen for fall when we have females who work in the company wearing lots of Sorel product around and we’ve been looking at that stuff for a number of months now here so we’re excited. 
Operator: Your next question comes from Sam Poser - Sterne, Agee & Leach. 
Sam Poser - Sterne, Agee & Leach: You mentioned that some of the spring distributor products shipped in Q4 versus Q1, was that heavier on a relative basis than last year?
Timothy Boyle: Just the inverse. So we would have shipped a higher proportion a year ago.
Sam Poser - Sterne, Agee & Leach: So on an apples to apples basis, the flat sales are the flat sales, give or take a little bit?
Timothy Boyle: Correct.
Thomas B. Cusick: Just to be clear here, the EMEA business was down significantly for the spring season. Less of that shipped in Q4 than will ship in Q1 causing a flat year-over-year Q1 but down significantly in Q4.
Sam Poser - Sterne, Agee & Leach: So more of the goods are shipping in the first half of the year in Q1 then they did a year ago, on a relative basis?
Timothy Boyle: Yes. 
Sam Poser - Sterne, Agee & Leach: One more hit on your stores, you have 57 outlets, is that correct, or is it 57 total?
Thomas B. Cusick: We’ve got, exiting the year, some of the numbers that Tim had quoted were combined North America and Europe stores. So in the US we exited the year with 45 stores including 6 branded. In Europe 10 stores, 3 branded. In Canada, 2 outlets.
Sam Poser - Sterne, Agee & Leach: You’re going to open 5 stores which will be outlets in 2010, correct?
Timothy Boyle: 3 outlets, 2 branded stores.
Sam Poser - Sterne, Agee & Leach: In the long term, what is your objective with retail?
Timothy Boyle: We believe that the retail division of the company can do a number of things for us on the branded and e-com site, we can raise the brands first of all awareness but more importantly it’s cache and the desirability by displaying the products the way we want to. The outlets give us an opportunity to right size our inventories in season, mid season, and to take care of other issues that we want to be able to control with our own initiatives, so I would like to see us opening some more stores on a measured basis, but frankly for us, the future of our business is the wholesale trade and that’s where we’re concentrating enormous efforts and you’ll see continued efforts to make sure that our retail partners can display our products as well as we think we can internally.
Sam Poser - Sterne, Agee & Leach: You mentioned that there were some difficulties recognizing the properties of some of the products and that was one of the good things about the Omni Heat, it has very visible technology in it, if I’m correct.
Timothy Boyle: That’s true. 
Sam Poser - Sterne, Agee & Leach: But at the same time, even given that and given [inaudible] you decided to spread this around, you’re not going to sell it to the modular department store channel, but you want to go into sporting goods and the better outdoor specialty, is that correct, that’s the target?
Timothy Boyle: That’s correct.
Sam Poser - Sterne, Agee & Leach: In a lot of the stores, a lot of the sporting goods stores, it’s really a self service environment and with such a premium new idea that you’re launching, I’m just wondering from a brand imaging perspective and everything else, to really set it up and make sure everything is perfect, might it not have been better just to go into the best of the best just to start and then roll it down once it really gets recognized, go to stores where people are really there to tell people about the product as you were talking about it by giving the proper training and so on?
Timothy Boyle: We think frankly this is such a compelling and game changing technology for us that we wanted to make sure that we got maximum exposure at the appropriate locations so our marketing efforts will be a combination of direct to consumer through our e-commerce and educating people that way. We’ll have TV, we’ll have in-store presentations that would also utilize vertical publications, so we think that people are going to know about this and we think this is going to be an enormous opportunity and we want to make sure that we put the most significant efforts towards it so frankly that we have enough merchandise around it so people can react to it and buy it.
Sam Poser - Sterne, Agee & Leach: With the marketing spend, you mentioned it was going to be in the same range as a percent as a year ago, but how about as pure dollars, how are you thinking about the marketing spend given you have this new technology which is compelling to launch as well as I guess the Sorel boot business you’re going to go after fairly aggressively as well. 
Timothy Boyle: The actual hard numerical dollars spent will be a percentage of our fall backlog and we’re not really ready to talk about that one yet but I can tell you that Omni Heat will get by far the largest percentage of our marketing spend by far and a more significant effort, probably the most significant effort we’ve ever put on any particular initiative, ever. 
Operator: Your final question comes from Barry Pasternok – Ramsey Asset Management.
Barry Pasternok – Ramsey Asset Management: Can you provide the total dollar amount of currency benefit to revenue in the quarter if you have that?
Timothy Boyle: Let me see if I have that. Roughly $10 million.
Barry Pasternok – Ramsey Asset Management: Was the currency impact positive to gross profit dollars and operating income dollars or was it neutral or a drag?
Timothy Boyle: From an operating income standpoint, it was beneficial.
Barry Pasternok – Ramsey Asset Management: Marginally would you say?
Timothy Boyle: Yes. A couple of pennies per share.
Barry Pasternok – Ramsey Asset Management: Was that benefit more reflected in gross margin or in SG&A?
Timothy Boyle: Sales and SG&A as we hedge the gross margin. Thank you very much for listening in. We’re looking forward to talking with you at length at our next Q1 conference call.
Operator: Thank you for joining today’s conference call. You may now disconnect.